Operator: Good morning. Thank you for attending the Benson Hill’s Third Quarter 2022 Earnings Call. My name is Glenn and I'll be your moderator. All lines are on mute during the presentation portion of the call, with an opportunity for questions-and-answers at the end. [Operator Instructions] I'd now like to pass the conference over to your host, Ruben Mella, Senior Director, Investor Relations with Benson Hill. Ruben, please go ahead.
Ruben Mella: Thank you and good morning. We appreciate you joining us to review our third quarter financial results and outlook. With me today are Matt Crisp, Benson Hill's Chief Executive Officer; and Dean Freeman, our Chief Financial Officer. Earlier this morning, we filled our earnings release and Form 8-K. These documents, as well as an investor presentation we will reference during the prepared remarks are available on the investors section of the Benson Hill website.  We filed the Universal Shelf S3 registration statement that includes a $100 million aftermarket equity facility subject to SEC effectiveness, which we will discuss later in this presentation. Separately, we also took a housekeeping step and filed a consolidating S3 that simply combined previous S1 registration statements we had on file. Comments today from management will contain forward-looking statements including Benson Hill's expectations of future financial and business performance, industry outlook, as well as current guidance about 2022 annual results, our plans and goals for 2023 and our 2025 financial targets. Forward-looking statements are inherently subject to risks, uncertainties and assumptions and are not guarantees of performance. We caution you to consider these risk factors that could cause actual results to differ materially from those in the forward-looking statements. Such factors include those referenced in the cautionary note included in our Form 10-K and 10-Q filings, press release, investor presentation and other filings with the SEC. Also during this presentation, we will be discussing certain non-GAAP financial measures. A reconciliation to GAAP is available on our earnings release and presentation. Our earnings presentation begins with an overview of what Matt and Dean will discuss today related to our financial results, the outlook for the remainder of the year, liquidity and activities underway for 2023. I will now turn the call over to Matt.
Matt Crisp: Thanks Ruben and good morning everyone. Our third quarter results continue to build on the momentum we have seen throughout the year, driven by favorable market conditions for both proprietary and non-proprietary ingredient products. Proprietary revenues in our Ingredient segment increased 300% to $26 million on a year-over-year basis, representing a doubling of proprietary revenues generated in the second quarter. This is consistent with our expectations for increased shipments in the second half of 2022 from last year's crop. We are off to a solid start in the fourth quarter and maintain our guidance to end the year with proprietary revenues in the range of $70 million to $80 million. We believe demand for our proprietary soy portfolio remains highly underpinned by the need for more nutritious, affordable, and accessible plant-based foods, which today is exacerbated by intensifying food inflation, supply chain challenges and the growing food-driven health crisis. We are able to serve multiple markets including alternative meat and dairy products, meat extension, bakery and snacks, as well as edible oils and aquaculture. Even during these challenging times, we continue to see strong interests in our products from customers and partners due to the numerous value propositions that the combination of our technological and business model innovations can offer. Our proprietary products are domestically sourced and grown by U.S. farmers. Traceable across the supply chain, often grown with regenerative agriculture practices and are designed to be more nutrient dense, less processed, better tasting and significantly more sustainably produced than many competing products. Furthermore, because we are growing ingredients made better from the beginning, our products also have the ability to be produced with fewer processing steps for similar or less costs than competing products. Based on what we know today, we believe the current market dynamics will remain tailwinds for the ongoing growth and commercial success of our proprietary soy portfolio. Our annual planning process is well underway. I will review key activities that will inform our outlook and then take a moment to reflect on the one year anniversary of Benson Hill becoming a public company. While the U.S. soy planting began later than usual this season, the harvest of our proprietary 2022 crop is more than 90% complete across our farmer partners. This is in line with national averages and our expectations. Each year we test protein levels in the field prior to harvest to provide us visibility into the performance of the crop. Our sampling activities are on track and are also nearly complete, and we are delivering against the enhanced and world-leading protein content levels we expected. Furthermore, crop yields have been strong and validated our planning expectations. Together these results set us up well to deliver on another high growth year of results in 2023. Last quarter, we shared with you the significance of the strategic partnership with ADM to commercialize Benson Hill's ultra-high protein soy ingredients for the human nutrition market in North America. This first of its kind collaboration represents a new frontier in food innovation. Starting with a better seed means both companies can align with consumer demands through bespoke ingredients in fast growing protein markets for human food. By enabling a vertically integrated approach, we can also offer new revenue opportunities for farmers who want to be a part of this novel seed to fork approach. With the foundation of the relationship between Benson Hill and ADM now in place, we are actively collaborating to scale multiple new and innovative product categories, while also unlocking capacity with existing products, all of which are powered by Benson Hill Genetics. We are excited about the opportunity to collaborate with ADM’s farmer base ingredient manufacturing and sales organizations. We are now coordinating with ADM to process a portion of our 2022 ultra-high protein soy crop with plans for more significant volumes from the 2023 crop. A joint farmer partner recruitment program for 2023 planting season is underway in the vicinity of ADM’s Decatur, Illinois facility. We also launched 2023 former partner programs to support our Creston, Iowa and Seymour, Indiana facilities. Broadly speaking, awareness of Benson Hill and our program has increased among the grower community with an emphasis across the other states. Current farmer requests for acre contract proposals have already exceeded all total contract acres in 2022, and to date existing Benson Hill farmer partners have pledged to increase their acreage commitments on average by well over 25%. Last month, marked the one year anniversary of Benson Hill becoming a public company. Since announcing the path to the public markets in May of 2021, we've announced six quarters of results meeting or exceeding our financial and operational targets over that time, we've increased financial guidance several times since the publication of our outlook in early 2021, we've achieved several key strategic and commercial milestones, and we've significantly enhanced the capabilities of the CropOS platform and in particular, our digital twin technology to further accelerate and deepen our innovative product development pipeline. All of these accomplishments validate our strategy and fortify the foundation for continued growth and overall demonstrate execution to date beyond our expectations. We are grateful for the support of our farmer, partners, customers, and commercial partners, team members and investors. Many of you share our vision to advance the food system and have collaborated with us to ensure we are advancing the business and not only delivering on the growth targets that we've outlined, but positioning Benson Hill to further leverage the natural genetic diversity of plants to achieve our mission to drive the pace of innovation in food. We are optimistic that 2023 will be a year to further advance our strategic and financial objectives; anchored by our technology, powered by data and enabled through an integrated approach across the agri-food supply chain connecting the farmer with the consumer. While it's early in our planning cycle four of the goals that we have for 2023 are: one, increase contract closed-loop acres by at least 50%, as well as add substantial acres for ADM in both cases leveraging our closed-loop and CropOS, where our industry leading data sets are enabling us to optimize management practices by variety for protein and yield. Collectively, our goal is to more than double the acreage footprint in the field next year. Two, increased proprietary ingredient revenue by at least 50%, driven by continued strong traction in the aquaculture, edible oils and protein ingredient markets. The unique carbon and water reduction advantages of our Ultra-High Protein soybean has drawn considerable interests across multiple target markets and in particular aquaculture, which has the potential to be an attractive growth market for us next year. Three, further expand gross margin by shifting to more proprietary ingredient production, realizing product mix improvements within the proprietary portfolio and realizing efficiency gains and operating logistics and across our supply chain. And four, we plan to share some exciting advancements in innovation pipeline at our 2023 Investor Day, which we will host at our St. Louis headquarters on March 29th. I will now turn the call over to Dean for his perspective about our third quarter performance and upward revisions to our 2022 guidance. He will also cover the steps we have taken that are intended to fully fund the business, which we believe will further enable us to execute our strategy and achieve positive EBITDA and positive free cash flow in 2025.
Dean Freeman: Thanks Matt and good morning everyone. I'll begin with comments regarding the quarterly results and the full year outlook. Third quarter revenues for the ingredient segment grew 429% to $122 million, which included the proprietary revenue growth, Matt, mentioned earlier. The primary driver of our results was better than expected non-proprietary revenue growth due to favorable pricing and the execution of our operations to achieve consistent high throughput at both the Creston and Seymour facilities. In fact, last quarter we achieved record setting production rates at both of our soy facilities. The results also include a small amount of revenue in the quarter as a result of the ADM strategic partnership. As a result of this strong performance, we now expect to deliver full year ingredient segment revenues between $370 million and $389,000 million above the previously increased range of $275 million to $325 million provided on the second quarter call. Revenues for the Fresh segment decreased 11% to $7.9 million due largely to adverse weather in both Georgia and Florida throughout the quarter, including commercial disruptions cost by Hurricane Ian. As we've discussed throughout the year, the sharp rise in soy commodity prices during the first quarter resulted in $8.2 million of unrealized mark-to-market losses related to timing differences between hedge contracts and the physical sale of the underlying assets. As expected, we realized gains in those contracts in the second and third quarters of $5.2 million and $1.4 million respectively. We have another $1.6 million of losses remaining, which we forecast to largely unwind by the end of the year. Consolidated gross profit in the quarter was $4.4 million; an increase of $4 million inclusive of $1.4 million gain related to the mark-to-market timing differences. Reported gross profit in the ingredient segment was $5.9 million compared to a gross profit of $800,000 in the prior year period. The drivers of these results included closed-loop proprietary and non-proprietary revenue growth, the impact of high margin partnership and licensing revenue and progress by our operations team to drive improved production utilization and cost efficiencies. The increase in gross profit from the Ingredient segment was partially offset by a gross loss of $1.6 million in the Fresh segment due largely to adverse weather conditions, which required us to incur higher costs for contract purchases, a fresh produce to be contract obligations. As a result of the strong execution in the ingredient segment and outlook for the fourth quarter, we are increasing annual gross profit guidance to $14 million to $17 million from the original guidance of $9 million to $13 million. The guidance includes the third quarter and expected fourth quarter revenue and gross profit contributions from the ADM strategic partnership, which should more than offset the approximately $3 million of unexpected negative impacts from the Fresh segment year-to-date. Adjusted EBITDA on the quarter was a loss of $17.5 million. For the full year we expect an improvement in the adjusted EBITDA loss to now be $75 million to $80 million from previous guidance of a loss of $80 million to $85 million. Furthermore, we expect free cash flow for the year to now be negative $95 million to $105 million, an improvement over prior year guidance of negative $120 million to $130 million. Turning to liquidity, we continue to maintain a strong cash position with $193 million on hand as of September 30. We stated on the second quarter call that we would explore additional options to further support our future liquidity demands. We believe we now have in place the mechanisms to fully fund the business inclusive of debt repayments to achieving, our objective of positive EBITDA and free cash flow in 2025. The foundation to effectively manage our cash needs is in the execution of our strategic plan for profitable growth, disciplined capital deployment and cost management. We further added to our cash position by first, receiving the first in a series of annual technology and licensing payments from ADM, which was included in the September 30th cash balances. Second, meaning the performance milestones with our primary lender to extend the interest only period by 12 months, which will postpone principle payments to the beginning of 2024. Third, filing a shelf-registration statement today that includes an ATM facility of up to $100 million, once effective the ATM facility is designed to supplement Benson Hill's cash position over the next two to three years. We like our shareholders are sensitive to dilution and tend to opportunistically consider reasonable non-dilutive alternative sources of liquidity in the future. What we have done is proactively create a portfolio of optionality to extend the liquidity runway to further support the balance sheet. Last quarter, we shared with you that the Fresh business was under strategic review processes led to negotiations with interested parties to acquire the business and related assets, which is ongoing. If we are able to enter into a transaction to divest the business, we would likely take a non-cash write-off of up to approximately 50% of the book value of the business. This is obviously dependent on a number of factors, including the structure, timing and scope of the divested business. If a transaction or transactions were to occur which we cannot guarantee, we would expect to use the net proceeds to further supplement our cash position. As Matt mentioned, we've accomplished a great deal over the past year to validate our strategy and demonstrate considerable progress towards our 2025 financial objectives. The annual budget and planning process is underway during our dynamic time in our industry, which we continue to believe will provide net tailwinds next year. We plan to provide 2023 guidance during our fourth quarter earnings call in March. That concludes the prepared remarks. We'll now take your questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Cody Ross from UBS. Cody, your lines now open.
Cody Ross: Good morning. Thank you for taking our questions. I want to start on just the sales because you beat the street revenue by about $45 million in the quarter, and you raised your sales outlook by over $70 million all driven by your non-proprietary portion of your ingredient segment. What's driving the growth right now and how sustainable do you think this is?
Dean Freeman: Yes. So hey Cody, this is Dean. Thanks for the question. Look, I think as we've talked about, there's a couple things going on. The broader backdrop in the broader market for non-proprietary products continues to be really strong. There's a very strong cost basis or price basis I should say, that continues to persist. And the production utilization and performance – operations performance continues to perform at a level that candidly we didn't anticipate, put a little bit of math around that, about 30 – the Q3 production utilization and cross rate performance is about 30% better than the third quarter than it was all the first half of the year, and that's a function of the fact we've recently acquired these assets. We're still building up the capability; we're building up the logistics chains. There's an entire sort of synchronization of the production and the supply chain that happens over time as operations continue to execute, continue to optimize and we expect that performance to persist in the fourth quarter.
Cody Ross: Thank you for that. And if I could just weigh into one-more here. You raised your outlook for gross profit and EBITDA for the full year, implying a meaningful ramp in fourth quarter. Why does your margin improve in the fourth quarter relative to the third quarter, and understanding how this flows to cash flow and your free cash flow outlook? What are the drivers of the improve improvement in free cash flow in the fourth quarter? Thank you.
Matt Crisp: Yes. Let me start with the cash flow. The cash flow is obviously a function. It's clearly a couple of things, a function of the performance of the margins as we've expanded the gross profit and obviously the EBITDA that is true margin, cash margin performance, continuing to really optimize the working capital cycle, I think we took a reasonably conservative view given the dynamics of the markets, given the performance of operations, and is now we've seen their ability to perform. We see much less stress on working capital overall and then just the broader shipment performance we expect in the fourth quarter should de-stress networking capital. So we get the benefit of that. But the key driver really is the performance of the margins, and I think it's a great question. It's kind of three things really happening there. From a non-proprietary perspective we're actually seeing much better margin – contribution margin performance, both as a function of crush rate margin performance, but also in our non-proprietary yellow pea business continues to perform very well operationally and from a margin perspective. Secondly, from a proprietary perspective we're just seeing again, the benefit of the broader pricing backdrop. The broader crush margin backdrop and the effects of the improved volumes and the mix really delivering stronger contribution margin. And then lastly, I would say that the operations performance continues to drive production utilization rates to a point where we're actually to a certain extent offsetting some of the persistent inflationary and supply chain logistics headwinds we saw in the first half of the year with improved production utilization. And I'll just say lastly, there is some of the partnership licensing high margin licensing margin performance that we anticipate in the fourth quarter. I'll just make one last point to that question. We also – if the fresh business was a tailwind, the headwind I should say in the third quarter storm related, they had to do much more, I'll call it open market purchases to satisfy contracts at a much higher cost. We anticipated that to abait into going into the fourth quarter and the fresh business actually contributing margin. I will say the storm news that obviously we're watching very closely could potentially impact that, but it wouldn't be material to the overall guidance of the year.
Cody Ross: Thank you for that and then just one last high level strategic question. How has your partnership with ADM changed your discussion with prospective customers and partners? Has it increased the amount of conversations you have provided credibility to your business model? Has there been any impact at all? Thank you and I'll pass it on.
Matt Crisp: Yes. Thanks for that question Cody. This is Matt. It certainly, I think validated the value proposition that we felt strongly was built around the Ultra-High Protein portfolio for certain applications in the human food ingredient markets. And so as you can, of course imagine, the sales infrastructure and manufacturing infrastructure behind ADM as the market leader is at a scale that previously was unattainable. And so it's done a couple of the points that you mentioned. I mean one obviously solidified, surety and credibility even more than I think we were in our early stages of developing. But it's also given us a storyline to speak with a broader set of customers and perspective partners around other target markets. And so when we validate the value proposition of Ultra-High Protein soy for in particular the scope of this partnership, that's obviously a really nice achievement, a fantastic milestone one, which we expect to deliver a terrific amount of value relative to our licensing and partnership metrics over the near and medium term. But beyond that, as we've communicated to folks, evolution of our business to satisfy the capacity that we have in step two of our previously published model and move more business into a broader licensing construct in what we call step three is of course something that we're always evaluating. And so that that validation, that credibility, that market expansion and penetrance that we expect to see realized is something that I think folks in different verticals are also looking across and going. There's ways for us to expand these types of opportunities and other target markets in collaboration with Benson Hill as well. And so I'd say, it's both within and outside of the construct of the existing partnership providing significant benefit in the market.
Cody Ross: Thank you. Best of luck the rest of the year.
Matt Crisp: Thank you.
Dean Freeman: Thanks Cody.
Operator: Thank you. Well our next question comes from Adam Samuelson from Goldman Sachs. Adam, your eyes now open.
Adam Samuelson: Thank you. Good morning everyone.
Matt Crisp: Good morning, Adam.
Dean Freeman: Good morning, Adam.
Adam Samuelson: Good morning. So I guess the first question, bit of a clarification as we think about the technology payments from ADM that you said there was some in the quarter, and Dean, I thought I heard you say just now that there would be some additional in the fourth quarter, anyway, to just quantify that. I think in the second quarter on the outlook, you'd said minimal contribution from ADM at the time. And so just to clarify, did the guidance in August and assume that those levels of technology payments associated gross profit that you're kind of realizing in the second half or is that part of the step up in the outlook?
Dean Freeman: Yes. Look, I mean, I think and we've obviously looked at this very closely that that the guidance – the guidance step up is largely as a function of the performance of the business. As I mentioned earlier, the factors around the production performance, the factors surrounding the margin improvement, both on the proprietary and on the non-proprietary side. The ADM payments and the revenue help us top-up the guidance, but it's not material to the overall guidance performance.
Adam Samuelson: Got it. Okay. All right. That's alright, that's helpful. And then so you've – I know you're not giving 2023 guidance now, but you've given a couple markers to help think about some of the value added contributions to expect for 2023. And I wanted to hone in a little bit on the proprietary ingredients revenue growth, which you set up at least 50, so it's over 110. And I'm just trying to think about kind of the gross profit contribution of that and how that – how that kind of will track relative to the overall 2025 goals for both total revenues but also consolidated gross profit margins of 25% plus. And if you could help us think about kind of the gross margin trajectory that an improvement that would come from that kind of step up and proprietary ingredients revenue and what the puts and takes around the magnitude of that improvement would be, it'd be really helpful?
Dean Freeman: Yes. So let me just talk about, I want to be careful, obviously we're still very much in our planning cycle and there's a – there's any number of inputs. We are benefiting from a pricing backdrop; broadly speaking that gives us optimism around the continued performance of contribution margin for proprietary. We should be largely, again on track and kind of how we've thought about our margin performance in 2023 as a function of the additional margin growth. And I think all things being equal we expect to have very solid margin improvement on proprietary, both as a functional volumes, but also as the function of the improved higher margin profit mix, it'll come from those additional volumes.
Adam Samuelson: Got it. And as we think about both the experience with the 2022 crop, which drives that revenue next year, as well as the – as well as the target markets for that – where those product – what types of products and who they're going to. Is there new categories and new customers that form a meaningful part of that volume and revenue increment?
Dean Freeman: Yes. I can comment on that – of that. So we did far more comprehensive planning in the 2022 planting then we've done in prior years. I like to say sometimes we're transitioning in the current near term period from more of a push to a pull model. So we've gained more end market visibility to what the demand side desires and various of these target markets. I'd point to one area Adam, and that I did mention in my prepared remarks of aquaculture where we are seeing a degree of firmness that's probably greater than the expectations that we had moving into the current period. And that's a good problem for us to have simply because there's a fair amount of versatility and how we can deploy the crop varieties into that target market, particularly for the northern European aquaculture market. The demand side there is being driven in part by EU standards around sustainable sourcing and given the – roughly 80% to 90% reduction in CO2 and greater than 70% reduction in water that we can supply into that market as an SPC replacement for the UHP soy, that become overwhelmingly attractive to some of these larger end market customers. So that's one area where I'd say we're getting really nice demand signal and I expect that we'll meet or exceed what we previously expected and not have to disrupt any of the – a variety mix from a crop production standpoint. Broadly speaking, and this gets also to your last question that Dean addressed, is that in respect of how we see a gross margin escalation for 2023, it's very much in line with the plan that we previously guided towards and provided a bridge for it our Investor Day that leads us to cash flow positive and EBITDA positive 2025 targets. So I do want to affirm that we are tracking against a number of the – positively towards the number of the variables that we provided pretty detailed guidelines around during our April meeting together as well.
Adam Samuelson: That's all, really helpful. I'll pass it on. Thanks.
Dean Freeman: Thank you, Adam.
Operator: Thank you. We have our next questions comes from Kristen Owen from Oppenheimer. Kristen, your line is now open.
Kristen Owen: Great. Thanks so much. Good morning everyone. Congratulations on the nice quarter first and foremost. Wanted to dig in a little bit; Dean, you mentioned some of these metrics, but wanted to know if you could expand a little bit more on just the performance improvements at Seymour and Creston. Speak to some of those KPIs? What's moving in the right direction and help us parse out how much help you're getting sort of from the macro, broader cross margin backdrop versus your own improved efficiency gains?
Dean Freeman: Yes. It's a great question. I mean, and the two kind of go hand-in-hand to the extent that we continue to see strong persistent demand and to the extent that we certainly more work to be done, but certainly firing on all cylinders from an operational perspective with regard to the production velocity improvements, the crush rate improvements, the overall capacity utilization, and those are having, I would say meaningful impacts on the overall margin expansion that we're seeing. The pricing and the cross margin improvement is certainly also a persistent benefit. But largely as we continue to drive the proprietary revenue through the plants, and as we talked about the back end of the year being a much stronger proprietary revenue mix, we're seeing some very solid margin enhancements as a function of that. And as Matt talked about aqua as a meaningful part of that overall mix and the margin improvement. So the two go hand in hand, and if you sort of had to push me, I would say it's sort of an equal parts between the performance of the shops, the operations, the production utilization and the broader market pricing and volumes from the value-added products.
Kristen Owen: That's super helpful, Dean, because I think one of the things that we're trying to understand is, what sticks in 2023 and from a top line it sounds like more progression toward proprietary ingredients, which will certainly be beneficial to margins. Even if we were to see some of the broader soybean market dynamics feed a little bit, that there would be some makeup for that, both as a reflection of the increased percentage of proprietary ingredients and what that means from a margin perspective. Are we thinking that the right way?
Matt Crisp: Yes, Kristen, this is Matt. And thanks for your comments. I think yes, you are thinking about that correctly. There is the transition over the near term that we've that talked about moving a larger proportion of the capacity over to proprietary and it's a balancing game, frankly. I mean, to your question about does the volume and pricing dynamics in the non-proprietary arena persist through 2023? I mean, I could answer that in one way and say, well, it's anyone's guess because from a commodity pricing perspective, but I would certainly imagine that there is probably more downside than upside from a non-proprietary commodity perspective. So we don't plan, of course for proprietary – or I'm sorry, non-proprietary unit prices to continue to increase, because that would be making a long bet on the commodity markets. And we just don't speculate in that regard. But what, as it reflects to your question of consolidated revenue, we're in this midst of transition between non-proprietary over to proprietary, but I would say that the ceiling that we previously thought we had, say a year ago is higher and it's higher because of frankly, the team and the remarkable work that they have done to execute the operational goals far beyond our expectations which will provide overall greater capacity for flows through those plants over time. And so while this year we've spoken about a minority of the capacity at Preston and Seymour being proprietary and we are talking about a 50% year-over-year growth in the proprietary arena. It still will not constitute overwhelming component of the capacity that will take two to three years to transition over. So it's a long way of answering your question, but what I'm trying to explain is that you are thinking about it correctly and there is this balancing act of shifting proprietary and to create a greater proportion of the product mix. Obviously that's the number one driver of our margin accretion that we're very focused on. But the degree to which there is a balance of the continued high commodity prices, which are propping up the non-proprietary performance in the meantime is a bit of a TBD.
Kristen Owen: I appreciate the colour, Matt. If I could sneak one last one in, I'm just thinking about the flywheel benefits of the 50% proprietary acreage growth next year. Just how we should be thinking about that contribution to the overall impact on the CropOS system, and I'll leave it there. Thank you.
Matt Crisp: No, for sure. And just to remind you and everyone that when we talk about the acreage growth that led into 2022, that's translating into my commentary around 50% proprietary revenue growth in 2023, there is very little year-to-year variance. The crop from this year principally is the revenue and the proprietary arena from next year. So when I talk about proprietary acreage growth and goals of greater than 50% on the proprietary closed loop side and doubling on an overall basis, the way to think about that is how does it translate then to 2024 revenue outcomes? And certainly that that year will be the first year where we feel like we've got a much more meaningful contribution moving in from the licensing side, which is an even higher margin profile. But certainly at that point in time you would expect to see a more significant proportion of our plant capacity being absorbed with the proprietary flows.
Kristen Owen: Thank you.
Operator: Thank you. We have our next question; it comes from Ben Theurer from Barclays. Ben, your line now open.
Ben Theurer: Perfect. Thank you very much. Good morning. Congrats on the results. Just along these lines if you could talk a little bit, because we've talked about the planting piece, but can you also talk more about on your customer side, where do you see strong demand coming into 2023 and then potentially beyond as [indiscernible] we're planning on next year, [indiscernible] 2024. Which area should we focus on or take a look deeper into, is it on the agriculture side, is it within the [indiscernible]? Is it within just in general alternative protein sector? Where do you see the strongest demand drivers within the next call it once two years?
Matt Crisp: Yes, for sure. Thanks, Ben. I think we're seeing, as I mentioned earlier, really nice demand signals in the aquaculture arena. That's certainly one. There is still a great deal of demand that we talked about earlier in the year or the high oleic, low linolenic non-GMO soy oil that we are producing. I would say furthermore, we've spoken about the human food ingredient markets, the edible oils markets and the aquaculture markets, and as you saw the presentation material say those continue to be three pillars of distinct investment. We haven't talked a lot about things like pet food as an example. And that is something that we are going to begin to look at more closely in 2023 because there's similar value propositions that we can offer to some of these markets that we've already begun to translate, and validate and scale in the human food side of the house. So it's an example, Ben. It's too soon to say if and how that begins to constitute an impact to the P&L. The other area, not market-specific, not end-market-specific, but geography-specific is we are growing our business in Europe on the back of our aquaculture investments there. And we are always looking at opportunities as we continue to grow in the United States to look beyond the United States and to other destination markets. And that's an area again along with pet food that we haven't spoken a lot about, but we're going to be taking a closer look at in 2023.
Ben Theurer: Got it. Understood. And one question maybe for Dean, how should we, I mean, you've talked about the drivers of the free cash flow and obviously clear that a lot of it comes from the margin piece, but another part of it is that you talked about the better working capital. So where should we think about where is the benefit coming from? Is it just on the receivable side, is it on the inventory side, where do you have most opportunity to actually improve and release a little bit of that working capital investment?
Dean Freeman: Yes, that's a great question. So, a couple of things. It's largely a function of the inventory and sort of having much more efficiency in the inventory term that we're seeing. That's both the function of the having a better handle on sort of demand signals and then having much better synchronization in terms of supply chain and production. So that's a key one. We put a lot more focus just on working capital in general, so we're seeing improvements in our collection performance as we deliver product, just our overall capital discipline continues to perform well and certainly gives us comfort that at least from a working capital perspective we continue to see opportunities to improve our cash.
Ben Theurer: Okay, thanks for that. Congrats again.
Matt Crisp: Thank you, Ben.
Operator: Thank you. Our next question comes from Ben Klieve from Lake Street Capital Markets. Ben your line is now open.
Ben Klieve: All right. Thanks for taking my questions and congratulations on a next quarter here. Couples from me, first of all, a follow-up to the question that was just asked, Matt, when you discuss geographic expansion in Europe specifically, I'm curious if you see that kind of generally attributable to an expansion of the Denofa agreement or if you see that coming from other agreements or other end markets?
Matt Crisp: Sure, good question. It's a great reminder. I mean, Denofa is a terrific partner for us based in Norway. And that is a principle partnership that's helping drive some of the demand side interest, but it doesn't mean that we've handed off the relationship that we're intending to also foster with our end customers there. So, it's a collaboration, it's one where we see opportunities for expansion and possible future export of beans and not just finished product for that end market. But it's being done in tandem with a team on the ground that are having direct conversations with customers. And I'd point out interestingly, hearing from customers some of the additional value propositions that they desire for the next generations of products. I alluded to this in my prepared remarks, but it's something that we intend to speak a little bit more about when we convene in person at our Investor Day at the end of the first quarter, because as we predicted, and I think this has certainly come to light, not just in aqua, but in other end markets, we're gaining visibility by being verticalized in the chain from our customers and our customers’ customers for what other ways can we make their ingredient solutions better from the beginning? How elsewise can we use the natural genetic diversity of plants to provide benefit that helps reduce costs, increase sustainability and provides oftentimes less process solution. So it's a little bit of a digression there. But I hope that it also provides some rationale for why we continue to feel that it's important for us to maintain touchpoints with some of these end customers even in the destination markets.
Ben Klieve: Got it. No, that's helpful, thank you. And one more question, let me go back in line and I apologize, I had to jump for a couple minutes. So if you've answered this, I apologize. On the quarter itself, you noted processing facilities were really efficient; you also had some pricing benefits throughout the quarter. Regarding the efficiency in particular, were there any kind of one off item that really improved efficiency in the period? And how sustainable do you think that performance is going forward? Is this something that you think really can drive material – excuse me, are the variables that led to the processing efficiencies in Q3, going to drive continued success into 2023? Or were there kind of one off items that that really led to that?
Matt Crisp: I wouldn't call these one off items. I would say that there was just overall better performance. If you were to point at some areas where there was a distinct delta between our expectations and the results. I might point at a couple points in time in the year when we planned for some downtime in the plants, and we ultimately didn't have to have that downtime. And again, that's a testament to the remarkable team of folks that we've got running these facilities. I mentioned this before, and I think, Dean may have alluded to it in some of his comments as well, but we've set for multiple months already this year historical records for capacity utilization and output. And when I say historical, I don't mean since we bought the facilities in September and December, I mean ever, like over a combined more than 50 years of operation. So again, testament to the team, the discipline that has been applied to putting these facilities in a place that yes, will continue to perform at a high level of operational excellence moving into 2023. But to answer the other part of your question, you'll get to a point where you really are at the ceiling of output, and then it's our job to run the plants in a safe and disciplined manner on an ongoing basis. You may have missed this as you dropped off, but what I commented on to one of the other questions is we've in some respects to raise the ceiling a bit from what we've previously expected to be able to run through these facilities, but over time, remember, we're moving more and more proprietary flows through them. And so there is degrees of additional logistics optimization and supply chain optimization that going into and out of the plants will be required in order for us to realize the full margin potential that we believe exists within the facilities that we currently have.
Ben Klieve: Got it. Got it. Very good. Well thank you for that and congratulations again to all of you on a great quarter here, and I'll get back in line.
Matt Crisp: Thank you.
Operator: Thank you. [Operator Instructions] We have no more further questions on the line. I will now hand the floor back to Ruben.
Ruben Mella: I'll go ahead and hand it over to Matt for his closing remarks.
Matt Crisp: Thank you. And thanks everyone for your time and engagement this morning. We remain very focused on execution and achieving our near term strategic objectives. We're pleased with our 2022 results today and how the year is wrapping up. And we're also optimistic about the year to come. The strength and demand for our ingredient products is further validating that genomics is a proven lever for innovation, and that this in combination with our go-to-market approach can enable us to help customers deliver more nutritious, affordable, and sustainable food choices at scale. It's a truly exciting time for Benson Hill to advance our mission, to set the pace of innovation across the food system with our current proprietary portfolio and to press our competitive advantages through future innovations in our product pipeline. Thank you again for joining us. Have a great rest of the week.
Operator: Thank you. Ladies and gentlemen, that concludes the Benson Hill’s conference call. You may now disconnect your lines and exit the webcast.